Henrik Andersen: Good morning. And welcome to our Presentation of our Q1 for 2025. And let me by here also extend a huge gratitude and thank you to our customers across the world and especially in the U.S. for the very active discussions and also our colleagues for a very strong start of the year. With that I would like to go to the key highlights. So the key highlights, we ended Q1 with a revenue of €3.5 billion. That’s an increase of 29% year-on-year driven by our higher activity compared to Q1 last year and also the higher average pricing in Power Solution. The EBIT margin ended at positive 0.4%, positive operating profit in Q1 despite normally the seasonal low activity in Q1 driven again by revenue growth and also higher project profitability. The order intake was 3.1-gigawatt. The order intake increased by 36% year-on-year driven by strong momentum in offshore particularly and also in EMEA onshore. The manufacturing ramp-up and the Service recovery plan remain key and it is absolutely key of our operating priorities also for the coming quarters. So the onshore and offshore ramp-up is progressing and the Service completes its first quarter of its recovery plan as we speak. Then we have a new CFO starting 1st of June. We are onboarding Jakob Wegge-Larsen is in the planning and he’s ready to join and meet all of you when we get to the roadshow in August post our Q2 release in beginning of August. So soon a very warm welcome to Jakob who has his official not the 1st of June because I actually think it’s a Sunday but the 2nd of June. So Jakob we look forward to welcome you to Vestas. With that we’ll look a bit more on the orders and the markets we are operating in. It goes without saying that wind still holds the same key to both affordability, security and sustainability as we have highlighted in here and I think we are acutely reminded of that throughout the first four months of this year. If we look at the global environment, inflation, raw materials and transport costs are generally stable, but they of course had an extra added dimension of potentially also some significant tariff that could increase costs in some of these. We see the ongoing geopolitical and trade volatility leading to some sort of more form of regionalization, and also add to the uncertainty especially when we look at our colleagues in the U.S. The market environment when we look at that there is a very high focus on energy security and affordability, and I think, we have seen also in Europe examples of that and how important it is to have societies running with stable energy supply. The good investment is prioritized in key markets and we see that more and more, and then also the permitting improving in some markets, but overall permitting auctions and market design are still challenging and are being discussed actively. I think a positive example of some of this is also seeing a home country to us which is in Denmark where they have resubmitted the auctions for offshore after failing in Q4 last year. We are actually now seeing new terms coming out which of course I’m guessing will attract good attention from the main European developers. On the project level we have had a quarter here, proud to say that the team has executed well on our deliveries across the markets, but it is also clear that there is some regional disruptions to supply chain at least at risk and particularly in this around in North America with U.S. as a core attention for us. When we then look at the market share, it is the time of the year where we look with the numbers that has come in, and of course, here we continue to lead the industry when we look at global onshore/offshore installations excluding China, the global installation decreased from 37-gigawatt in 2024 -- or to 37-gigawatt in 2024 from 40-gigawatt in 2023. We maintain a leading position and we continue to emphasize our value over volume. Secondly also industry maturity is improving. Developers and turbine suppliers are being more selective and focusing on building high quality value creating projects and also healthy backlogs. You’ve seen our market share has gone from 28% to 30%, and of course, we will continue follow it, but as I said, still we prioritize value over volume. We then go to Power Solution in the quarter, so higher order intake year-on-year. When we look at that, the order intake of 3.1-gigawatt was up 36% compared to last year. The main reason for the increase is higher order intake in offshore and onshore in EMEA, while the U.S. is awaiting policy clarity. It is the largest offshore order in the quarter was 1-gigawatt it’s the Nordlicht 1 project in Germany which will employ Vestas 236-15-megawatt turbine. The largest onshore order in the quarter was the 384 megawatt Tyligul project in Ukraine. Once commissioned the wind farm will generate enough clean energy to power more than 200,000 homes a year making it the largest wind energy project in Ukraine. Personally it makes me incredibly proud to both have the established relationship with DTEK -- between DTEK and Vestas through many years not also with the personal relationship to the CEO, Maksym, who I spent an awful lot of time in making some of these things possible and it goes without saying our two teams made this possible to sign and also start manufacturing and transporting into Ukraine. The ASP increased to €1.4 million per megawatt in Q1 compared to €1.18 million per megawatt in the prior quarter. The increase was driven by largest share of offshore orders and orders with a larger scope, so this is don’t forget an average of many things in a quarter. We’re happy with it and it also supports the strategy we are laying out and following rigorously now for the last years. We also see in the breakdown to the right that U.S. only account for 189-megawatt in order intake, it illustrating the natural awake position for condition to be clearer on policy and also on tariff in the U.S. We are not disappointed over it, we expected it, but we can also see that we are working diligently with our customers to make that clear and that will become clearer in the coming quarters. We then go to Service in Q1. We are now one quarter into the Service recovery plan, so quarter here. We ended the quarter with a backlog increase to almost €37 billion, up from €34 billion a year ago. The Service reached 157-gigawatt on the Service, compared to 149-gigawatt a year ago, solidifying our position as the largest Service business in the industry. Vestas is now one quarter into the Service recovery plan, which is expected to run until the end of 2026. We’ll keep you updated as we progress in the coming quarters, but rest assured, the team is fully engaged and also committed and fully aware of the plan across the world, so we are driving and operating that with a with a discipline across our operations. When you look to the right, especially in the middle one, where we have a gigawatt on our active Service contracts stating 157 gigawatts. It could deviate in the coming quarters when commercial reset takes place and we are also expanding on our customer conversations on the external. So be aware of that and then on the average contract duration still a bit more than 11 years and that also gives our -- the strong contract portfolio we’re executing on. With that, I’ll go to development and it’s a Q1 2025 coming out of a quite busy year end in 2024. So I don’t have a lot of saying to the development. They haven’t had many order intake as you can see it says zero megawatt for the quarter. So I would just say in Q1 2025 Vestas’ pipeline of development projects amounted to 27-gigawatt with Australia, U.S., Spain and Brazil, holding the largest opportunities in general. The strategic focus is on maturing and growing a quality project pipeline, as well as conversion of mature projects into project sales and related turbine orders. During Q1 focus was on continued development of existing projects. The quarter did not release and realize any project sales nor any related order intake. So we, of course, have better expectations on the coming three quarters to our colleagues in development. When we then look at sustainability status after Q1 2025. The turbines produced and shipped in the last 12 months are expected to avoid approximately 490 million tons of greenhouse gas emission over the course of their lifetime. This is an increase of 97 million tons. The improvement is primarily driven by the increased production we realized throughout Q1. You can see that on the graph to the right. The carbon emission from our own operation decreased by 1% compared to last year. That also demonstrate our relative performance are still improving across our Scope 1 and 2. But it also highlights that if we have a lower activity on construction on offshore, then of course some part of this will be influenced by it. So I’m just saying here we could foresee that that will increase in some of the coming quarters while our construction activities increases at sea. Then lastly number of recordable injuries per million working hours was up from 2.9 to 3.2 year-on-year. Safety remains a top priority for us as we tirelessly work to improve our safety performance across our value chain. Currently we are onboarding many new colleagues across our operations in both the factories and in the Service. So it was more important to have every member of the Vestas family arriving safely, working safely and returning safely to their families after carrying out the work at Vestas. So this is something that we will keep focusing, practicing and training with our colleagues in the field. Now, with that, I’ll give it over to Rasmus please.
Rasmus Gram: Thank you very much, Henrik. And let’s start with the income statement where as you already mentioned Henrik, revenue increased by almost 30% year-on-year driven by the higher delivery volumes, as well as higher prices on turbine deliveries and then a slight growth in the Service segment. Gross profit increased by 47% to €359 million, which corresponds to a gross margin increase of 1.3 percentage points year-on-year. And the EBIT margin before special items then came in at 0.4% in what is, of course, traditionally a little bit of a slow first quarter, but that is still an improvement of almost 3 percentage points year-on-year. On the table to the right here it’s also worth noting the improvement on return on capital employed which continues to develop nicely and we’ll come back to that a little bit later. Looking at the Power Solution segment, revenue increased 43% year-on-year again driven by -- primarily by higher delivery volumes in Americas and APAC, as well as by higher average pricing. And although EBIT margin was negative at -- was negative it’s still up by more than 7 -- almost more that 7 percentage points year-on-year so a good development. And all in all, I mean, we continue to see profitability improve in this segment despite the cost related to the manufacturing ramp in both offshore and onshore in the U.S. that continues to weigh on the segment margins. On the Service segments we generated an EBIT of €166 million in the quarter which is corresponding to an EBIT margin of 18% and on 2% higher revenue year-on-year so fairly flattish from that perspective. We are, as Henrik also mentioned, continuing to execute on the Service recovery plan that we laid out in connection with the full year results, but it will take some time before benefits are visible in our financials. On the net working capital, we see an increase in Q1, driven by an increase in inventory levels which was then partially offset by increasing payables and decreasing receivables. Working capital also, I would say, reflects the typical seasonality of our business, as we build inventory for higher activity in the second half of the year, although we do note that it remains at a pretty healthy level from our perspective. And then going into the cash flow statement, operating cash flow was positive €28 million in the quarter, which is a major improvement compared to last year and the improvement was driven by the higher profitability, as well as the better net working capital development that we just saw on the previous slide. And that then takes us to an adjusted free cash flow in the quarter of negative €325 million, and again, this is a significant improvement of almost €700 million compared to Q1 last year and this despite a higher investment level of around €100 million more and we’ll get back to the investments in just a minute. Overall, that means, we’re ending the quarter with a net cash position of €366 million, which is very good to see.
Henrik Andersen: Really well done. Rasmus, thank you.
Rasmus Gram: Appreciate that. Looking at the total investments they amounted to €307 million in Q1, and of course, this reflects the fact that we are continuing to invest into our V236 offshore manufacturing footprint particularly in Denmark and Poland. The nacelle facility in Poland is almost ready to start operating and the blade factory in Denmark is adding both people and tools to ramp up production. And as you might have seen in April the first commercial V236-15 megawatt offshore turbine was successfully installed at He Dreiht, which is of course, a major milestone for both the project and for Vestas on our offshore ramp up journey. Going to provisions and the loss production factor, we do see an increase of the loss production factor in Q1 as you can see on the graph here to the right, but this is caused by a few sites including the previously mentioned offshore sites that are undergoing repair as we speak, and if we disregard these sites the underlying LPF is continuing to trend downwards. Warranty costs in the Q amounted to €118 million. This corresponds to 3.4% of revenue which is an improvement on the full year percentage of 4.3 from last year and is also an improvement on Q1 of last year. And then going to the capital structure, we note here, just a note, that the share buyback of €100 million has been completed and the dividend of DKK0.55 per share has been paid out in April. The financial results are the main driver for the development in the net debt-to-EBITDA that you can see here on the graphic to the right, which ended the quarter at minus 0.2, which of course is a big improvement compared to the 1.1 a year ago and remains comfortably below our internal targets. We are also maintaining our investment grade rating of Baa2 from Moody’s with a stable outlook. Earnings per share on a 12-month basis improved to €0.6, again driven by the better profitability and the return on capital employed mentioned earlier is continuing then to improve also on a 12-month rolling basis to almost 9%, which is in line with the earnings recovery that we have spoken to. And with that, I will pass the baton back to Henrik for the outlook.
Henrik Andersen: Thank you so much, Rasmus. And for the outlook for the year. We keep revenue €18 billion to €20 billion and the EBIT margin before special items 4% to 7% and Services expected to generate EBIT before special items of around €700 million and then the total investments sits with a guidance of approximately €1.2 billion. It’s kept, it’s unchanged even with as we can say a relatively high number of variables coming -- and both coming and going throughout Q1 especially. May I also just take this opportunity especially here Rasmus to say thank you to you. You are doing a very good job, but also here we plan for you and Jakob to be part of the roadshow at the H1 in August, so everyone can get an opportunity to meet you also together with Jakob and see the handover is taking place between the two of you. So, with that, thank you for listening in and I will hereby pass back to the Operator for the Q&A.
Operator: Thank you. [Operator Instructions] The first question is from Kristian Tornoe, SEB. Please go ahead, sir.
Kristian Tornoe: Yes. Thank you. I have three questions. I’ll just do them one-by-one. So first one goes through the impact from tariffs and especially the section in your outlook section where if I interpret correctly you are saying that tariff creates challenges in execution and hence adds cost but you expect to be compensated for this. So what level of compensation are you expecting? Is it 100%, 90%, 80% and if it’s not 100%, can you sort of give examples of the type of costs related to tariffs which you cannot be compensated for?
Henrik Andersen: First of all, thank you, Kristian, and you will probably almost expect me to say that, as it is in relation to a relatively limited number both of projects and customers particularly in the U.S. It belongs to a bilateral conversation with the customers there, and obviously, the both customers’ projects are not the same, and therefore, we work diligently through this. It takes some time, and therefore, we also have to see, because as you are rightly saying, tariffs -- but a tariff is a category where even the amounts throughout the first month of the year have deviated and variated quite a lot. So I can’t even sort of say to you, this is exactly the science of the number of tariff, so even that is variable. So important is, that end of it and end of the discussion, it comes through to customer and therefore it also comes through to our customers through output, which is the electricity, and therefore, tariffs will mean higher electricity prices in the U.S.
Kristian Tornoe: Fair enough. And then sort of similar question but more to your order pipeline. So how is this impacting the discussion on future projects, are you expecting a low order intake in the U.S. for the year or is the fact that your customers can also pass this on going to keep your assumptions unchanged on orders?
Henrik Andersen: I think there’s some of these things that have reached a level of both sides of percentages and tariff that, of course, will have to have a qualified discussion also in the output to an offtaker of electricity in the U.S. That doesn’t take away with Kristian that we have more than 5,000 people, we have factories in the U.S. So for anyone we are probably the ones best suited to mitigate these things. But if we look at the order intake right now, there are many of those things that are in reality ready to be pushed the bottom on, but I just want to have policy clearance and policy clarity. And secondly, of course, they want to have some sort of also clarity of what could be the tariff outlook. So I have a commercial team that has been really, really, really busy, and I’m happy that we have a long backlog for 2025 and 2026. So what comes now is end of 2026 into 2027, 2028 and 2029, and of course, that requires that we also know what are the policy and will the existing policy continue potentially with a different sunset clause too.
Kristian Tornoe: Okay. So if I understood you correctly, a bit of delay in decision making right now. What do you say?
Henrik Andersen: Yeah. I think if I sitting at the customers shoes I would also like to know what I was signing on to in an investment committee. So what I’m dancing a bit around in my answer here is, I can’t say to you if it’s in Q2 or Q3, there will be a policy clearance Kristian, but we are we are closer to the policy clearance, because the U.S. administration normally works with this policy clearance under a normal assessment both in the Congress and the Senate.
Kristian Tornoe: Understood and fair enough. My last question is on the Empire Wind order you have in the backlog. Obviously I’m not expecting you to know what the future of that exactly going to be, but can you just talk us through the scenario where I mean the project is not being executed as planned and what it will have of financial impact to you?
Henrik Andersen: First of all, I would say, an Empire is unprecedented. It’s unprecedented in most parts of the world that you have an infrastructure project you choose to put a stop work order to in actually under normal known conditions. It is a project with a partner Equinor and that also means it’s as you would assume. I’m probably speaking a bit more regular with Anders Opedal these days than I would have done in the in the past couple of months but that’s just part of it. It is an 810-megawatt order in the State of New York. I saw some states yesterday putting a thing towards it. We follow Equinor, it’s our partner, and therefore, we also follow what Equinor would do. And of course, in a normal contractual relationship like this, there are certain clauses that also govern, for examples, like this, and of course, we await that and until we also know what Equinor want to do. I will just say from a positive side, we didn’t build factories, because offshore in the U.S. was not giving the transparency on the project pipeline, so for us this would mean that we have an 810-megawatt drop out if it’s cancelled of our offshore backlog and at that point in time, of course, we will try to see if we reallocate that to somebody else in in Europe.
Kristian Tornoe: Understood. That was all for me. Thank you so much.
Henrik Andersen: Thank you.
Operator: The next question from Akash Gupta, JPMorgan. Please go ahead.
Akash Gupta: Yes. Hi. Good morning, everybody. I have a couple of questions as well and I’ll ask one at a time. And the first one is a follow-up on tariffs, so I think what I want to understand is the gross impact versus net impact given your ability to mitigate also by passing it on to customers, but I think at this stage we are looking into what would be the potential impact on your cost base. And on that front when we look at 2025, I mean, most of the activity that you will do in current year, production will be done largely by first half and then more will be installation activity, and given we have got some pause on some of the reciprocal tariffs for 90 days. And what I want to understand is that, when we look at the impact, is it fair to say that, you would see a higher gross impact in 2026 than 2025? So that’s the first one to start with.
Henrik Andersen: I wish you will actually put that question to the administration that have suggested the tariffs, Akash, because in that sense, we can run those. I, of course, know exactly from components country of origin what we sit with as tariffs, but you will also know me well enough and saying that has been a pretty changeable number throughout the first four months of this year. And of course, now we live on a pause of that regime, so therefore you’re absolutely right, if the pause stops and the all the percentages are being reintroduced then your tariff implication for that for 2026 is higher than 2025. I can’t -- that’s just a factual statement. But giving both the circumstances of that the number of projects that are being hit by this potentially, I will still keep it just like Empire, it has to be a conversation between us and the customer on the amount and we are doing whatever we can to mitigate that, but you will not in single countries in the world have a fully localized supply chain when we talk about a wind turbine.
Akash Gupta: Thank you. And my second one is on your manufacturing ramp up, so first of all, thank you for providing some details in the presentation, but the question is more on the -- on what is left, so maybe if you can elaborate on what is still left in in manufacturing ramp up and maybe timing of that that by when these ramp up should be out of the way? Thank you.
Henrik Andersen: I think ramp up is a definition is targeted to get to a certain takt time and as long as you’re not at that takt time you’re still talking about an extraordinary ramp up cost. So we knew when we walked into this year that they should diminish over the year and that’s what we are working diligently on. So it also means that we have had an a material impact negatively on the ramp up cost in in Q1, and of course, we try what we ever we can to dilute them over the year. So that’s the plan. For obvious reason I don’t have an interest in sharing exactly on what part of the ramp and where are we on the takt time right now, but we are not finished with the ramp up, so we are bringing the challenge with us into to Q2. But I also have here again to probably say, thank you to our colleagues, they’re working through it diligently. And as you would appreciate from a sort of a patient point of view it doesn’t help to stand and jump up and down and ask for more quickly, because that’s not the way to solve it, it is simply just by learning putting it through more and more on the onshore in the U.S. and then, of course, on the offshore in Europe predominantly. So we’re working through it, it’s not gone and it will sit there for most of this year, I’m pretty sure.
Akash Gupta: Thank you, Henrik.
Operator: The next question from Casper Blom, Danske Bank. Please go ahead.
Casper Blom: Thank you very much. I would like to start by asking a question regarding the Service recovery plan, and of course, we’re now only one quarter into it, but you mentioned that you would want to keep us updated as this progresses towards the end of 2026. Can you elaborate a bit on how you would want to keep us updated? Will you be introducing any new KPIs or is it merely for us to follow the margin development? If you can reflect a bit on that Henrik that would be great.
Henrik Andersen: Yeah. I think we gave with this -- in beginning of February we gave what are the details of the plan. I think today we -- you saw the performance of Q1, which is there and there about of the performance we expected in that. It’s an average again an 18%, and of course, there are some disappointments and there are some positives in there, but as we are just saying that will continue from a margin point of view. So what we are just saying here in that sense is that, we just walk through that and we share it with you in -- if there are any positives and negatives to the margin, and then as I said, here the takeaway from this one is that, you want to have been through it in a proper way before you also engage with your customers on the model we are executing on. And that’s why I just sort of also said today that when you look at for instance the gigawatt on the Service there might come variations to that theme when now the commercial reset starts. So we’re not bound to renew things that doesn’t create any value for the owners, the shareholders of Vestas, and of course, that is now where we see in the coming quarters that that external discussions with customers are increasing.
Casper Blom: Fair enough, Henrik. And then apologies but just yet another follow-up on the tariff discussion. Could you talk a little bit to sort of the difference between what you already have in the backlog and when it comes to new orders. I speaking to both you guys previously and also to some of the other western OEMs, and one phrase I’ve heard a lot is change of law clauses. Could you sort of confirm that in the back existing backlog that you have these change of law clauses and that tariffs is thereby mostly something that financially could affect new orders?
Henrik Andersen: If you’re asking a backlog and new orders that’s two different things. So as I said here, I think, the world was prepared to some extent on there could be a discussion around the tariff and how you would organize that in terms of clauses and contracts. I think what has been developing over the last month is, of course, a tariff regime that was maybe a little bit more excessive than people could have foreseen when you did the originally one. So there’s there is there is clearly a discussion point around how do you govern for that. And I think also to some extent some of those tariffs that have been proposed are at a level where it probably could prevent some of the -- from -- of the projects to be built ultimate. We are the one that are best suited for having the conversation because we have the setup in the U.S. already. So for us it’s a good discussion to have with customers, but as I said also as you can see 189-megawatt, it has an effect until we have some sort of clearance on how we go around both the policy and the tariff. And if I’m looking at its policy right now is more important for customers to get clearance on than actually tariffs.
Casper Blom: Okay. That’s a good reflection. Then just the final one Henrik, I understand you don’t want to sort of give exact data on your takt time, but in the U.S. onshore ramp up, could you speak to you know maybe how far along the way are you, if you have to sort of improve by X percent then and how much is covered and how much is left it before you are where you may want to be?
Henrik Andersen: We are still not on it, and as I said here, that goes for both the onshore in the U.S. and on the offshore that that we are we are managing through it. We are also getting extra capacity on finishing and so far. So to some extent it’s positive because it starts coming out but that also means that when the volume ramping up then some of the finishing conclusion on it gives you other points. So we are not happy where we are, we think we should have been further on, but here I’m talking as much to the internal colleagues, by saying that, because they know, we still have a way to go and we probably would have hoped we were longer into it. But that’s how life is, and as I said, the good thing is, it’s the market we love, we know the factory, so therefore we will get to it in the right timing, but I think there is a couple of quarters yet to go before we are where we want to be.
Casper Blom: Okay. That’s good enough. Thanks a lot, Henrik.
Operator: The next question is from John Kim, Deutsche Bank. Please go ahead.
John Kim: Hi. Good morning. I’m wondering if we could talk a little bit about the contract assets, the sequential growth from Q4 levels. Can you help us unpack that a bit in relation to how inflation is working in the Service contracts? You did mention earlier I believe that there’s a commercial review in the backlog, my take is that you’re setting new terms and you may lose some of those contracts? Is that the right way to think about it?
Rasmus Gram: Yeah. Let me take that one, John. So first on the contract assets. I mean you’re right it grows a bit sequentially from Q1. We don’t see any underlying development in the contract assets that is really worth calling out. Of course, we’ll disclose as well the segment split on a full year basis and I think we have made the point, of course, on Service, the focus right now is on reducing costs and resetting contracts as we go, and of course, we also note that that if you look at it on a net contract balances perspective we are actually decreasing which, of course, is also helping us in our working capital. I think the second question was on the contract trimming and I think it’s more to say that, that -- it is, of course, on the table that, that we were also focusing on value over volume from a Service perspective and that, of course, also means that that if we need to try and renegotiate or exit contracts, we are open to that, because it’s about the health of the of the Service business and not just growing the gigawatt under Service every single quarter, as Henrik is alluding to, so I think it’s just a heads up that this might be that that you can see that in the numbers at some point.
John Kim: Okay. Very helpful. One follow-on if I may in the provision in LPF slide, you do talk about underlying LPF continuing to trend down. Can you give us some color on what’s happening in the repair backlog for the onshore installations and how the cadence might work this year? Thanks.
Henrik Andersen: I think that’s continuing from what you have seen in the last couple of years. We want to bring it down, but it’s sticky, so it doesn’t sort of change over and then, of course, as you also seen in this quarter, if there are a few park standing then it’s enough to influence that number. So we continue the underlying focus and trend John across what we have, and of course, when you talk of gigawatt of this nature the onshore works and it progresses and we haven’t seen any new major failures or components in the last quarter.
John Kim: Okay. Thank you.
Operator: The next question from Dan Togo Jensen, Carnegie Investments. Please go ahead.
Dan Togo Jensen: Yes. Thank you. I just wanted to get back to this ramp and the how we should sort of think about the effect here sequentially, understand, of course, there is an impact here in Q1, but when we go forward in the year, of course, you should improve, but also the impact and you start to deliver more on the offshore side that comes with a lower margin. So how should we think of this going forward, is the impact, so to say, on par in Q2 with Q1, so there’s no sequentially worsening and how fast should we think of, so to say, sequentially that the positive impact of you getting better takt time, et cetera, will penetrate throughout the coming quarters. Just to get a flavor on feeling of that. Thanks.
Henrik Andersen: I could be a bit tempted Dan for me, the good thing is, I don’t need to guide exactly on specific quarters and how those costs materialize. They should dilute over time and to some extent for us, of course, it’s nice that it’s here in beginning of the year, but on the other hand, we also know we are ramping up manufacturing on both the onshore and the offshore, so therefore it would be nice if it improves in the coming quarter or two, that’s for sure. So we work diligently through it then, but as I said, I don’t want to end up in having neither an amount or an exact science between the individual quarters, because you are sensitive as it is that number of factories we are talking about.
Dan Togo Jensen: Okay. Understood. And then just maybe some words on the ASP increasing sequentially, of course, I guess also because you take more offshore here, but just to get understanding, is there the spread between onshore and offshore is it particularly wide as it is right now or due to the scope that we see in onshore -- offshore and onshore ASP wise closer to each other compared to what we’ve seen in the past, just to get a feeling of the mix between the two, no particular numbers named, but just sort of a relative understanding?
Henrik Andersen: I will almost say here, if we were fishing together, I will say, you are clearly trying to get as close as you can to, to catch that fish, come on offshore is in this quarter it’s two orders, right? So we don’t we don’t comment on it, Dan, that was the reason why we also say we don’t separate out, because if you’re able to do that then you can sit and look at each other’s pricing in local markets which we are not really and I see there is another one in the industry that has stopped providing ASP for probably same reasons. So we are very happy with the order intake, we are happy with the pricing and we are continuing and you can, when you see the numbers on the underlying, you can see it pays off, so it starts with the order intake and you get the right pricing for it. Here I will say, in in terms of the order intake in the quarter, there is a high variations of scope, not only from on and offshore, but also within the onshore. So therefore there is just a variation, but we are very pleased with it. And no, I don’t foresee that that we will have things where onshore and offshore are the same unless, of course, you have loaded scope in some of the on onshore orders, that will be that will be the best way of seeing it.
Dan Togo Jensen: Understood, Henrik. Thank you.
Operator: The next question from Martin Wilkie, Citi. Please go ahead.
Martin Wilkie: Yeah. Thank you good. Good morning. It’s Martin from Citi. My first question was just coming back to tariffs and if you could remind us of your country exposure. I think the industry overall is a lot less China exposed than it was in 2018 and so therefore presumably the tariff impact is mainly for countries outside of China, but any comments you could give on that would be very helpful? Thank you.
Henrik Andersen: I think at least one thing, thanks, Martin is, that I don’t want to add to the geopolitical discussions around the good friendly countries or not. We have a global supply chain, so there will be a number of components that will arrive from some of the places you are mentioning whether that’s China or other places around the world where we have established the footprint and also the supply chain. I will say compared to previously back, if you’re comparing to 2018 and 2019, there was no doubt that in, at the point in time in 2018-2019, you also had around the corner a cliff on the PTC, which led to that there were almost full turbines being imported from across the world into the U.S. And I think today that’s just a different capacity planning and that’s also the localization that we have done in the meantime. So, therefore, most of that super happy that we have the setup in the U.S. for the capacity and you can see that we now passed 5000 employees, where by far the largest growth of that comes from the factories in the U.S. for the capacity expansion.
Martin Wilkie: Thanks. That’s really helpful. And linked to that so, obviously, you have been expanding in Colorado, which will mitigate the tariff risk, is that ongoing expansion happening regardless of the Inflation Reduction Act uncertainty, and obviously, we may find out over the course of the summer whether many of these credits continue or not. But from your perspective, adding that capacity in Colorado can happen regardless you don’t need to wait until we get clarity on the IRA before you can do anything else in Colorado?
Henrik Andersen: Contrary to a few other people that have I can see in some of the last quarters here who almost put wind in the U.S. in the grave. I’m opposite. There will be a solution to continuing policies in the U.S., because the energy generation sits strongly in as part of this program. But let’s -- let us do together with the rest of the industry the normal good work to find the policy framework for it. I’m a firm believer in the policy framework will find its balance in some of the other discussions that are going on in and around both energy and tax and other things in the U.S. currently. So we are positive over the ramp in Colorado and we don’t see anything. But would I -- would we start building another factory in today’s environment, probably not currently, but that’s up then to administration to have those discussion for giving clarity to the new policy. So, Martin, we are still positive over U.S. market and also what our customers are saying about it.
Martin Wilkie: Great. Thank you very much.
Operator: The next question from Max Yates, Morgan Stanley. Please go ahead. Mr. Yates, your line is open.
Max Yates: Can you hear me?
Operator: We can hear you now.
Max Yates: Yeah. Okay. Look I understand so tariffs is a bit of a moving target, but what I wanted to ask was, on your supply chain, if you look at kind of how you operate today and in terms of sort of bought in components into the U.S., what is sort of most different to the way that you operated in 2018 and 2019, and I’d love kind of any examples of where you’ve kind of moved sourcing of certain products out of China into other regions in the world, just to understand sort of some of those changes? Thank you.
Henrik Andersen: Thanks, Max. But I think one of the biggest changes that have been since 2018-2019 was that you literally had a full open, so in reality you shipped almost full turbines from other parts of the world whether that was Europe, China and India, and if you followed us on the recent years, you also saw for instance that when you have some of these restrictions you had an American manufacturing credit as well, and of course, that led to that we took capacity out of, for instance a nacelle manufacturing in Denmark, and of course, expanded back in the U.S. So therefore quite a lot of that has been rebalancing over the last years and there has been an incentive for people to doing exactly that, so we did that. We followed that lead both from first time the current administration was in and the Biden administration, and we strongly believe that that will be some of the things that will be an ongoing direction also in this administration.
Max Yates: Okay. That’s helpful. And just as a follow-up, obviously, your warranty cost provisions were quite a lot lower this quarter. I think down sort of 3.4%, which is obviously a nice move, was there anything kind of one-off in there any kind of positive provision releases or anything like that or should we take kind of at least the kind of material improvement versus last year as the base expectation so for what we should see in 2025? Thank you.
Henrik Andersen: Thank you so much. And I mean, Max, for those who followed us in a number of years, this is a this is a long journey, it’s a sticky one, it was never going to change from above 5% to suddenly end at 2% or 2.5%. So we are on the journey and this quarter we are business as planned, so to say, there’s no material in the quarter that sticks out as extraordinary. So, therefore, we had 3.4% and so that’s a more business like usual. I think it’s -- I always say it’s difficult unless you have some material going on in a quarter otherwise this is a good average quarter for where we see it, and of course, that’s lower than it was on average last year, but you also saw that that also had a comparison to Q4. So we do that both within the quarters, but also with a with an eye to what is the full year expectation.
Max Yates: Okay. That’s great. Thank you very much.
Operator: The next question from Claus Almer, Nordea. Please go ahead.
Claus Almer: Thank you. Yeah. Also a few questions from my side. So, Henrik, there’s no doubt that it must be very difficult to navigate in the current tariff uncertainty. So how do you actually operate with the risk of tariff being imposed while the components order for instance in China is on its way to the U.S. but not yet reach the harbor of the U.S.? That would be the first one.
Henrik Andersen: Claus you know us well. First of all, we don’t move factories or we don’t move things by coincidence between a Monday and a Friday, and for those who have done that have gotten a very bad first four months of the year, because that’s not the way to treat it. We built this and we build it with a certain belief, then sometimes we get surprised or gets maybe disappointed, but then we find a solution to that in general. But of course, you try to route and source things where you are mitigating the least. But if I’m then a little brutal here, if you’ve seen some of the potential is coming and going. I mean come on, it wouldn’t be fair to a supply chain of partners or even our own sourcing of factories that you basically change that much within a few weeks. So we try to stare and keep voices and reactions and discussions pretty calm. And so far in the first four months of the year that has actually supported us, because some of these things I’m pretty sure will find a mitigation or a handshake over the coming quarters at a level where the world settles in and continue having a growth in the societies we represent. So that’s maybe the best way I can sort of say calmly and we don’t go to bed and we don’t get up in the morning and the first thing we do is if it has changed, because we run Vestas with a longer view than what happens spontaneously on a single tariff percentage in a country.
Claus Almer: Makes sense. Maybe to ask in a different way, have you increased your inventories ahead of potential tariffs being introduced that that would be one way to mitigate the least?
Henrik Andersen: I think we are -- I mean if there is a pause, we try to get to get some of the components through other things, but then on the other hand, our assets and our components are not something that you sort of just do in triple speed, and therefore, get them in by exempt. So the supply chain runs with the supply chain is. So, therefore, Claus, we do whatever we can to mitigate, but there isn’t sort of a quick loop where you just bring blades or for that matter nacelles or other hops just across because there is a window of 14 days that’s not doable, Claus.
Claus Almer: Fair enough. Then the second question goes to the pipeline and I know Henrik you’re not that keen to give a lot of color to this, but if you talk pipeline excluding U.S., does the current geopolitical situation impact the discussions and with the developers. Are they also hesitant to place orders or is it very specific to the U.S., when you talk about delays in negotiations?
Henrik Andersen: I think we are all -- as executives we are all as reflecting over the world we sit in and it is clear that that if we have executive discussions right now in one part of the world where we are probably meeting potentially unprecedented decisions or discussions, then of course, that will have a reflection on what do then do and this is end of the day, it is about how do we allocate capital in our customers and together with our customers towards it. I think the positive is and people forget that, we have had an election in Germany. Germany has just completed the auction. It’s still with a target of potentially 10-gigawatt onshore. I wouldn’t even been able to predict that just two years ago. So I also think here and if there is an election in Australia that has just been done and therefore probably that the energy policy now is pretty stable, and therefore, the transition from coal to renewable and other energy sources will happen with the same speed or even accelerated speed. So I think the world is in an energy focus still, and of course, customers will benefit from that. So I think I’m not doing that, but of course, where you have policies like in the U.S. there you have to be cautious for a period of time, because you can’t go to your Board and saying, I don’t really know the return on this one subject to what will the policy be in U.S. So that I understand fully, but as we know the customers there, you complete all the things up until basically you, yeah, missed to date it and missed to make the final decision, because the projects are there in the pipeline. So I’m -- I still see some of exactly the same, but I think, of course, it’s a big utility or it’s a big developer game right now, because that’s where you have availability of pipeline.
Claus Almer: Fair enough. And then just the final question was, you mentioned during your presentation within Service, there was some commercial discussion ongoing, which may create some volatility at least that’s what I heard. What does that mean?
Henrik Andersen: That just means, Claus, when also, Rasmus, I alluded to here a bit earlier, when you look at it, there’s no automatic renewal in the in the Service business that probably could have been assumed previously, and of course, if there are contracts in the Service portfolio that doesn’t look to create any value for us then there will be a discussion directly with the customer and that will ultimately lead to that we find a solution and we are just sort of heads up here, and saying, you can’t just as usually in the Service business as part of these eight quarters, just say that the gigawatt will continue go up. We know it goes up, because we, of course, install more turbines, but on the other hand, there will both be renewables and there will be some commercial resetting that ultimately would lead to that some of that volume either stops go somewhere else or customer takes it in-house.
Claus Almer: Okay. So either you lose volumes due to termination of contracts or you get better margins if you are successful in these negotiations.
Henrik Andersen: You are trying to make it very two-dimensional. I think that’s maybe a little too simplified, Claus, but the aim is…
Claus Almer: We are worrying as an analyst.
Henrik Andersen: The aim is very clear. So I -- we don’t do the commercial reset here to put the Service business in a worse position, that I can promise you.
Claus Almer: Fair enough. That was all for me. Thanks a lot.
Operator: The next question from Ajay Patel, Goldman Sachs. Please go ahead.
Ajay Patel: Good morning and thanks for taking my questions and thank you for the presentation. Firstly, I wanted to ask on free cash flow, there was a sizable improvement in the first quarter, €680 million and I start to think about last year where you had a I think minus €970 and then you delivered €1 billion of cash flow by the year end, so a sizable amount of cash flow generation in Q2, Q3, Q4. Now if we look to the next three quarters, your revenue should be stronger, your margin should be stronger. Is there some maybe balances between the quarters that in this quarter that maybe undermine that relationship if I compare with last year or is the consensus for €445 million of free cash flow full year 2025 just look too low. Anything that gives me a feeling of the building blocks would be really helpful.
Rasmus Gram: Yeah. Let me take that one Ajay. I think we’re, of course, quite satisfied with the cash flow in Q1, as you know, we usually have a bigger negative cash flow in Q1, as we start to build inventory and usually have a bit of a softer Q1. I think we have worked quite a lot with our working capital. Of course, on the P&L, we usually say, we have we’re backend loaded and we are seasonal and I think on cash flow that has maybe been even more so. So that has been a big focus area for us to try and improve and that is basically what we’re doing. You cannot necessarily take the same trends of last year and then extrapolate that. We still expect cash to be backend loaded, but we cannot say necessarily to the same extent as last year. For us it’s just good to have a nice Q1 in the box from a cash flow perspective, and of course, it remains our aim to have a positive free cash flow for the year.
Ajay Patel: And what would be the areas that would cause the differences? Just so that I understand, i.e., like what would need to happen this year that wouldn’t repeat last year in terms of, because I think your order profile, in terms of your delivery profile is similar, right, revenue?
Rasmus Gram: Yeah. But within that delivery profile we’re always looking to improve, right? So milestone payments, when is the exact trigger, when are we collecting big payments. Cash can also be very lumpy. Same with our outflow. Try to be more even, more disciplined, et cetera. So we are working on all these, let’s call, them smaller improvements and then that is what you are seeing coming through in Q1.
Ajay Patel: Okay. And then can I just ask one other question just on orders. I’m just thinking about the year as a whole. Would you still expect to see order growth in onshore? We start the year sizably down Q1 versus Q1 last year. There was some positive encouraging comments I think over the call a lot of activity happening. Maybe some uncertainty is causing a little bit of sitting on hands. But is it still expected that you’ll see growth in onshore this year versus last year? And which are the key geographies?
Henrik Andersen: You see here this is where we simply can’t. And I tell you what I -- the previous nice person here Claus Almer, he always reminds me every time I try to come with a prediction of next quarter or where I travel. Then Claus acutely reminds me of that that didn’t translate into any orders or something like that. So I think the ability to convert and give you a guidance of where we are. I give you a strong hint here. We see Europe as an area where all countries are all hands on deck. Why is that? You just had it last week where if you have outages and other stuff you are acutely reminded of you need to be in control over your energy sourcing and independency. You just seen the election this weekend in Australia that is a more of the same and probably with an accelerated speed. And then, of course, you have the whole of North America probably being in wait and hold. So as I said, we don’t see a slowdown in in order intake and we don’t plan for that. And I have none of my commercial teams that are talking to that either. So therefore, Ajay, I don’t see that, but I’m fully aware, as I also reminded Claus, there are people that are still trying to almost have an agenda point that wind is going backwards, but that’s not what we see in our parts of the world where we operate.
Ajay Patel: Okay. Thank you very much. Very clear.
Operator: The next question from Colin Moody, RBC Capital. Please go ahead.
Colin Moody: Hi, there. Thanks for taking my question. I just wanted to ask about, you alluded to earlier, the potential reallocation of capacity from Empire Wind. I just want to clarify, how feasible is this considering the kind of lead times your customers need on these offshore winds? I’m so sorry, needing offshore wind projects. And I guess just I wanted to marry up, obviously, you said that, you haven’t got any U.S. factories, because you still be kind of writing on the wall for offshore. I just wanted to marry up with your kind of comments that you’d rather be early to any kind of offshore ramp versus being late. Any issues of pockets of excess capacity in the next year or two as a result of that? Thank you.
Henrik Andersen: I know we think we are mixing all topics almost in offshore, Colin. I think what we have just said here for when you follow the timing, the discussions that has happened in the U.S., the way offshore unfolded was it took a hype coming back to 2021, where people were guessing that U.S. will install in 2030, probably 8-gigawatt, 12-gigawatt, 14-gigawatt of offshore annually. I think when we came into 2023, it became obvious that those plans were not going to be materialized or backed by proper permitting and others, which had also at that point in time, made most of the localization sort of disappear. The discussion was still there with some states, but when the state didn’t get at least a minimum of 1-gigawatt or 2-gigawatt in order planned executed into the backlog every year, you can’t localize a supply chain because you don’t localize a supply chain to have to go idle every second year. So, therefore, we have ended up in a situation, and you know the past here, that there was an outstanding on Atlantic shores and we had a firm order intake of Empire. So therefore, I feel for our partner right now, Equinor, that is having that project. Our job is that, of course, we can’t deliver the turbines and then take them back because then they are fully designed and doing that. But if it is early enough that it doesn’t get or there is a change of it, then, of course, we work together with Equinor to how to mitigate that and potentially use parts of it in other parts of the world. Don’t forget, it’s 810-megawatt. It doesn’t stop neither Equinor or Vestas in the planning. It’s a bit more than 50 turbines. So we will manage through this as we manage through many other things. I understand the headline and I understand the non-precedent of it. But having said that, then it is also manageable for us in both parts of the world.
Colin Moody: Sorry, I think that was a bit unclear. I completely acknowledge you were ahead of the curve and you understood that there wasn’t going to be a great deal of offshore localization in the U.S. But I guess, ask a different way, as I would have presumed Empire Wind would have been supplied out primarily from European factories. You now potentially have an 800-megawatt hole in your European production capacity. How reasonable is it that you could actually reallocate your production to other projects, considering the kind of lead times needed for offshore projects? Perhaps it’s a better way of summarizing what I was asking?
Henrik Andersen: But you have factories where you adjust factory capacity and the way we work with that constantly, Colin. So it’s not like you are either full capacity or overcapacitated out in offshore. So that’s part of the building block. What I’m just saying here, 810-megawatt is mitigatable out of a capacity planning, if it is. And that’s just what I’m trying to say. There is a lead time to produce it in Europe and there’s a lead time for the component sourcing of it. And that’s what we are planning through. Don’t forget…
Colin Moody: Okay.
Henrik Andersen: … in the offshore, you got more than 10-gigawatt in total. So in reality, we are adjusting with less than 10% of an offshore backlog.
Colin Moody: Yeah. That makes complete sense. Thank you. And perhaps just one quick follow-up question in a different area. Obviously, your Q1 deliveries are relatively quite strong versus what the market was expecting. I appreciate it’s not mega meaningful in terms of the full year picture. Is there anything to comment there about the shape of the full year, still backend loaded? Do you have any greater comfort in your deliveries in Q4 and your execution there at this point or a bit too early to say?
Henrik Andersen: I think we’ve just come out. We’ve had a good first quarter, solid, probably, even a bit better than what you on average expected. So, therefore, we are doing that. We kept our outlook for the year with a lot of the variables that goes on around us. So I think we are actually saying here with a thing, let’s get on to the next three quarters and then we will see how far we get when we get especially into the half year and the third quarter. But it is backend loaded. We always said that. And it is particularly as backend loaded or even more than last year. So, therefore, there’s still a lot for us to do in the last and the second half of the year, which always comes with a risk in that sense. So that’s why we’re still highlighting that, Colin. But we’ve had a better start of the year than probably we also forecasted and bought it for.
Colin Moody: Great. Thanks very much.
Operator: The next question from Deepa Venkateswaran, Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you for taking my question. I wanted to confirm one thing. And then you mentioned that the uncertainty around the IRA is higher than tariffs. So could you confirm that? And secondly, on the IRA, what are your customers expecting? Because right now, the law is still that IRA is valid. So why would shovel-ready project not place orders? Is there a fear of retrospective changes? And then I think you mentioned something about sunset. So if you could maybe give us your best guess of where you see IRA progressing? Thank you.
Henrik Andersen: I think there’s always been a discussion when you have a change between administrations. And I think IRA came at a point in time where there was needed, and it includes quite a number of details, not only related to wind. So there is clearly a policy change in some parts of that. So, therefore, until you have that, questions like, when is the timing for it? Is it 2032 or is it a different sunset clause that is ultimately leading to that there will be an earlier delivery or an earlier sunset clause or is 2032 something that the industry will work with? That I think everyone that has an interest in wind are currently also putting resources to make sure. And the positive is both sides of both Congress and Senate are fully recognizing the importance of getting an energy supply where wind is part of the sourcing. So that’s being addressed. And you know me well enough in saying, I will not do what you asked me to do in saying what’s the likelihood and what’s customers, because this is very well known territory for everyone that has built wind for two decades in the U.S., that when you have these negotiations and you have those things, we put -- we help put and work with it. And then we see the outcome through both Congress and Senate in probably the coming month, potentially coming quarter or two.
Deepa Venkateswaran: Thank you.
Operator: The next question from Sean McLoughlin, HSBC. Please go ahead.
Sean McLoughlin: Good morning. Thank you. I note the very EMEA heavy mix of your Q1 onshore order intake. And I also note the increasing volumes of China export orders in the second half. And just to understand a little bit where we are in terms of the Chinese competition, you’ve kept your prices very high and you’ve always said that you’re happy to lose share. But I mean, are you seeing increasingly markets where increased price competition is effectively pricing you out? Just an update on this would be would be helpful. Thank you.
Henrik Andersen: I will sort of say here, when we look across where we’ve taken the orders, strongly EMEA. And then when you see that it’s, I shown it’s not right to do big statements on a quarterly order intake, because it depends on so many other things. So therefore, as I said, here, you can either have, you can have elections, you can have critical timings of, of grids, permits and other stuff. So therefore, that will be wrong to assume that you can read an underlying out of that. I think in terms of construction, we don’t have much construction and sales in China, vis-à-vis there are parts of the world where they are competing. But it is also clear in what you also see now a number of times, the affordability and not least the security of the solution is also wading in of where we see competition and where we see less competition of that, because it is underlying a priority for many markets that they want to have an independent and they also wants to have their own way of doing it. So, I will sort of say far too early to conclude that and I know this is, probably, what some of you are heading or wants to run ahead with, but I don’t think it’s right. So, therefore, the world is, is a bit more focused on where do we build and if we take Ukraine, building things in a war zone to actually create the electricity, I think it is in its simple format, showing the importance of what wind can do in even very severe conditions and that I think people appreciate. And probably in Spain and Portugal, a lot of people also appreciate when you have a blackout, then you at first realize how important energy is to the society. So, we are not shying away from that. But I think actually the world becomes a little bit more polarized in terms of also where we get our energy sources from.
Sean McLoughlin: Thank you.
Operator: The next question from Henry Tarr, Berenberg. Please go ahead.
Henry Tarr: Hi, there, and thanks for taking my questions. Two, which probably have been slightly touched on before, but one just on deliveries in Q1, sort of backlog going into the quarter was not that dissimilar year-on-year, but deliveries are sort of 20% higher. Was -- is it just scheduling? I don’t think I’ve ever sort of fully understood the seasonal reason why Q1 is so weak and Q4 is so strong from a delivery perspective. Is there anything else going on there? I guess that is -- that’s kind of the first question. And then the second, just for -- there’s a limited number of projects ongoing that are onshore in the U.S. today, probably, but are those projects just carrying on as usual and you’re moving to completion and then there’s going to be a discussion, when everybody knows what the final sort of costs are or are those projects that you’re kind of operating or have started today, are they on pause now whilst everybody kind of works out what’s happening? How’s that sort of happening? Thanks.
Henrik Andersen: First things first in that sense. No, I don’t think there is any, particularly there is, as you can see, the delivery schedule is in here. You can also see that, if you take the first Q, this is a good delivery quarter on Europe. There is quite a lot more. It’s almost double up in North America. And last year, as we maybe all smiled a bit about that the U.S. couldn’t have had a stressful time because they delivered 15-megawatt in a whole quarter last year in the U.S. But we also said, that’s an early warning off that we are ramping up to a completely different thing. So there we do 619 [ph]. And generally in the U.S. right now, if you can get it and it’s ready, and we are ahead of it with construction and other things, Henry, we will take delivery in the U.S., because whatever it is, it is not something that from a project point of view, even with the tariffs we are having, it’s not something that will ultimately kill a project as such. So I think that’s just a conversation that goes on project-by-project. And generally, if people can have it, and there is a grid connectivity ready, then you will move. And that’s probably back to your seasonality. There is a lot of things that are always backend loaded also from a permitting and a grid connectivity. And you can’t have, I wish I could, it would be much smarter from an industry point of view that we had more or less four equal quarters. But also don’t underestimate when you are the northern parts or the northern part of the globe’s hemisphere, you have winter time and you cannot do construction and complete that in Q1 as much as you can prepare construction in Q -- end of Q1, Q2, Q3, and then you have all of it connected. So there’s a natural underlying reason why Q1 normally is a slower quarter simply due to the northern hemisphere. And that’s what we will work diligently through. And then on the U.S. onshore pipeline, we don’t see some of that and there’s nothing that stands still in that sense. But you will also appreciate, Henry, that some of these things are ongoing and some of them are variables that are being discussed. And you can sort of say, if we should change the tone of voice or the conversation with a customer, depending on the variables we have seen in the first four months, then it will be a difficult call in the end. So I think everyone here, it’s happening on senior executive level and therefore people will connect with this and find solutions to get this done. But again, there, a lot of it has been mitigated already before this started, because we have a much smaller impact from components that are not fully turbines imported to the U.S., as described earlier in this call.
Henry Tarr: That’s great. Many thanks.
Henrik Andersen: Could we have the last question now, Operator?
Operator: Yes. The last question from William Mackie, Kepler Cheuvreux. Please go ahead.
William Mackie: Yeah. Good morning to you all. Thank you for squeezing me in. My question would relate to perhaps some of the core assumptions that you’ve made going into the end of the quarter around the reiteration of your outlook statement. And I say that with, I guess, specific reference to tariffs. When we look at the volatility of tariffs in the first quarter, it’s been extreme. We’re on pause on a number of tariffs and not in other regions. So what is your core assumption when you’ve reiterated the guidance about the tariff outlook for the year and the sort of adaptions you’re making? And how could that perhaps be revised later in the year one way or the other, depending on various outcomes of U.S. policy? Thanks.
Henrik Andersen: But I can answer that shortly, William. If I had to give you an update on the size of the tariff in a gross setting throughout the first four months, we would have had to update you quite regular and it is not fair when it’s about a number of projects and a few, and a limited number of customers that are engaged in it. So we really have to focus on this one, because the other side of that coin, what if it is mitigated or disappeared in one or two quarters, then we will also sit and having a similar conversation. So what happens then with that customer, that project? So therefore, we have said here, there will happen a mitigation ultimate leading also to the effect to the electricity offtake price for customers. So therefore, it works. But of course, I don’t know what will be announced in five days or six days from now. And that, of course, has an uncertainty. And you can also see that in the wording. It is not immaterial, but we also live in the uncertain world. But we so far feel comfortable enough that we can mitigate with the partners we have and that’s what we will aim to do. But it will be wrong, especially under those circumstances to give either a fixed amount or a fixed date where things were mitigated on. So this has been our assumptions and this has also been our discussions, and as you can probably guess, with quite a lot more time and details shared internally investors.
William Mackie: Okay. Thank you very much.
Henrik Andersen: Okay. With that, thank you so much for not only listening in, but also taking the interest here and sharing with it. I know we are going to see many of you over the coming days. We look forward to that. And with that also, thank you again to everyone here. So speak soon and see you soon out there. Thank you.